Operator: Thank you for standing by. This is the conference operator. Welcome to the AirBoss of America Fourth Quarter 2024 Conference Call. As a reminder, all participants are in a listen-only mode. A conference call is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. Gren Schoch, Chief Executive Officer. Please go ahead, sir.
Gren Schoch: Thank you, operator. Good morning, everyone, and thank you for joining us for the AirBoss Fourth Quarter 2021 Results Conference Call. My name is Gren Schoch, I'm the Chairman and co-CEO of AirBoss. With me today are Chris Bitsakakis, our President and Co-CEO; Frank Intelie, our CFO; and Chris Figel, our EVP General Counsel. Our agenda today will start with a review of the operational highlights for the quarter and year, followed by a discussion of our financial results before we open the conference line to questions. Before we begin, I would like to remind listeners that our remarks today contain forward-looking statements, including our estimates of future developments. We invite listeners to review risk factors related to our business and our annual information form and our MD&A, both of which are available on SEDAR+ and on our corporate website. Also, we will discuss certain non-GAAP measures, including EBITDA. Reconciliations of these measures are available in our MD&A. Finally, please note that, our reporting currency is in US dollars. Therefore, references today will be in US dollars, unless we indicate otherwise. With that, I will now turn the call over to Chris for operational review.
Chris Bitsakakis: Thank you, Gren, and good morning, everyone. Although, 2024 was a challenging year for AirBoss, as pronounced economic headwinds impacted each segment to varying degrees and the company continued to navigate obstacles related to market softness and geopolitical challenges, we are particularly encouraged by ARS, which performed strongly and generated improved margins despite lower sales in 2024 compared to 2023 and by the continued recovery within AMP's defense business. The new MALO contract awarded in the past quarter, in addition to isolation gown and Bandolier awards announced earlier in 2024, are all building upon the growing momentum for this division as we entered 2025 with over $200 million in government contracts awarded. Looking ahead to 2025, in addition to executing on these contracts, management remains focused on the successful conversion of key opportunities to support the future growth aligned with its strategic plan. However, we need to emphasize that any recovery will be subject to the current global geopolitical climate and the escalating threat of tariffs, duties and other similar restrictions on trade, which could have a profound impact on the global economy and Canada, in particular. A significant portion of the products manufactured by the company in Canada are sold into the United States, and in addition, a portion of the company's products could be subject to tariffs given the cross-border nature of the company's business operations. The company is actively evaluating and executing on contingency plans and reviewing all available options to deal with these potential threats, including rebalancing production on sales between the US and Canada in an effort to minimize impacts to the company and our customers. Shifting back to 2024. In Q4 2024, ARS saw continued softness carried over from the previous quarter as customers continued to reduce orders and shutter production earlier than anticipated as they focused on reducing inventory levels, partially driven by lower demand, despite strong performance during the earlier part of 2024. ARS as well as what was reported by our main competitor, experienced volume reductions across most sectors and saw reduced volumes compared to Q4 2023. Despite these challenges and the uncertainties heading into 2025, ARS remains committed to executing on its strategy to deliver strong results with specialized products, expanding production of a broader array of compounds and enhanced flexibility in attracting and fulfilling new business through identified synergies and margin expansion. Our launch of our new silicone line is a testament to our commitment to expanding margins through specialty compounding. A&P experienced an overall volume reduction in the fourth quarter of 2024, primarily driven by its defense products business and offset by continued softness in the rubber molded products business. The defense business saw improvements in both revenue and gross profit, mainly driven by new business awards that is executed on in the quarter. The rubber molded products operations were impacted by continued volume softness related to the original equipment manufacturers shuttering production to rebalance vehicle inventory levels, which has been ongoing throughout 2024. The business continued its focus on managing costs, and the commitment to drive efficiencies in best-in-class automation as well as the diversification of its product lines into adjacent sectors. The defense business experienced positive traction during Q4 2024, which is expected to continue into next year supported by the commencement of deliveries on several previously announced contracts, including some recent new awards in addition to the overhead reductions carried out earlier this year to help mitigate the volume softness. Management also continued its focus on operational improvements during the quarter and continued to work with its key customers with the goal of leveraging opportunities aligned with its growth initiatives. The company's long-term priorities have remained consistent and include growing the core Rubber Solutions segment by emphasizing rubber compounding as the core driver for sustainable growth and productivity, on diversifying and expanding its range of rubber-molded products and on executing on the strategic alignment of core versus non-core product lines while targeting additional acquisition opportunities with a focus on adding new rubber compounding capacity. With that, I will now pass the call over to Frank for the financial review.
Frank Ientile: Thanks, Chris, and good morning, everyone. As a reminder, all dollar amounts presented today are in US dollars. Percentage changes compare Q4 of 2024 to Q4 of 2023, unless otherwise noted. To be respectful of your time today, I will be brief in my summary of our Q4 2024 results. Starting from the top line, AirBoss' consolidated net sales for Q4 of 2024 were $92 million, a decrease of 0.8% from the prior year due to lower volumes at AirBoss Rubber Solutions, partially offset by increased sales at AirBoss Manufactured Products. Consolidated gross profit for Q4 of 2024 increased by $10.2 million to $15.3 million compared with Q4 of 2023. This was primarily the result of an $8 million non-cash write-down in 2023 related to nitrile gloves and isolation gown inventory and improvements in the defense products business, partially offset by decreases in Rubber Solutions and softness within AMP's rubber-molded product lines. Turning now to our individual segments. Net sales at ARS for Q4 of 2024 were $47.3 million, a decrease of 13.1% compared to Q4 of 2023. Volume decreased 22.5% with declines across most customer sectors. Tolling volume was down 39%, while non-tolling volume was down 21.7%. Gross profit within ARS for Q4 of 2024 was $5.9 million compared with $7.8 million in Q4 of 2023. The decrease in gross profit was principally due to lower volumes across most customer sectors and product mix. At AMP, net sales for Q4 2024 was $48.2 million, an increase of 9.4% compared to Q4 of 2023. The increase was a result of higher volumes in the defense products business with decreases across rubber-molded product lines, driven by production reductions across most of OEMs. Gross profit within AMP for Q4 of 2024 was $9.4 million compared to a loss of $2.7 million in Q4 of 2023. The increase was primarily a result of an $8 million non-cash write-down in 2023 related to nitrile gloves and isolation gown inventory and improved volumes and product mix in the defense product lines further supported by operational cost improvements in the segment. For the year ended December 2024, net cash provided by operating activities was $8.8 million versus $40.9 million as at the end of 2023 and free cash flow was negative $1.8 million versus $32.5 million in 2023. For the year ended December 2024, capital investments of $4.4 million were made by ARS and $5.5 million were made by AMP. These capital expenditures were related to cost-saving initiatives, growth initiatives and upgrading existing property, plant and equipment. At December 31, 2024, our net debt balance was $98.9 million versus $88.2 million at the end of 2023. We expect to fund the company's 2025 operating cash requirements, including required working capital investments, capital expenditures and scheduled debt repayments from cash on gain, cash flow from operations and committed borrowing capacity. In November 2024, the company entered into two secured credit facilities, an asset-based revolving line of credit and a $55 million term loan. The company's new asset-based revolving credit facility provides financing up to $100 million with an accordion to $50 million. At December 31, 2024, $79.4 million was available under this facility and $52.7 million was drawn. The revolving line of credit was modified in January of 2025 to provide financing up to $125 million with an accordion of $25 million. With that, I will now turn the call over to Gren. Gren?
Gren Schoch: Thank you, Frank. In summary, last year was a challenging year. However, the significant cost reductions and strong order backlogs and defense products give us cause for optimism for improvement this year. Obviously, the effects of the current geopolitical and tariff environment on the economy, our customers and our business have the potential to negatively impact us. With that, I will turn it over to the operator for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from Ahmed Abdullah with National Bank of Canada. Please go ahead.
Ahmed Abdullah: Good morning and thanks for taking my question. In your remarks around the tariff risk, you've highlighted that your sales may be subject to tariffs during the production process. Is that mostly related to the auto sector? Or is there any other segments that we should think about where products would be crossing the border during production?
Chris Bitsakakis: Yes. I can't think of any of our products that go back and forth across the border for us. It's going to be either going one way, and being exposed to a tariff or coming back and being exposed to counter-tariff. That's sort of, I think, what we meant, maybe we didn't make that clear enough. But we don't have products that go back and forth multiple times over the border to be finished.
Ahmed Abdullah: Okay. That's helpful. And your sales last year of -- into the U.S. were about 76% of your full year. Can you give us that number for 2024 just to have a sense as to where things stand?
Frank Ientile: Yes. Ahmed, it would be similar, obviously, flexing given the volume drop from 24% versus 23%, but proportionately would be roughly in that range.
Ahmed Abdullah: Okay. And is there any color you're willing to provide as to how much of those sales are originating from Canada?
Frank Ientile: We're reviewing right now, Ahmed. I think we're going to have the ability to provide some more insights on that as things evolve.
Ahmed Abdullah: Okay. That's fair. And just on the comment about volume improvement that you're expecting in mid-2025, subject to tariffs, obviously, that has shifted from your last comment, which was early 2025. Are you starting to see a little bit of hesitation from customers in orders or holding off back because of the geopolitical uncertainty? Or is there any other color that you can give us around that commentary?
Chris Bitsakakis: Well, we're entering 2025 with a significant backlog, well over $200 million for the defense products. And we are not seeing any sort of concern or delays from our customers. A lot of the defense products, we're able to make in the U.S. as an example. But even the products that are made in Canada, we have not seen any delays, because of that. I just think it's the regular sort of waiting for delivery order getting it set up. There's been some turmoil within some offices in the United States government, in terms of getting some paperwork flowing back and forth as efficiently as it used to be. But other than that, we're not expecting any -- at this point, any major delays on delivering of those products.
Ahmed Abdullah: Okay. That's fair. And just one last one for me. On the new product line, the silicone production line, how has the uptake been by customers in terms of order flow so far?
Chris Bitsakakis: It's -- and thanks for asking the question, because we're really excited about it. We launched it late in 2024. And as you recall, Ahmed, the AirBoss engineered products, the automotive product line that we have there, consumes a lot of silicone. And up until now, we've been buying the silicone from outside. We've qualified our internal silicone production for our own product lines, and we are in full production. So we already have 20% or 30% of the capacity already flowing through there, now that we have all of our customer approvals. And we have started trialing the material with outside customers as of January. So based on the plan that we had laid out in terms of what we expected the volume, I'd say we were right on plan and maybe a little bit ahead right now. So it's already in full production. All of our internal products have already been converted to our own silicone, and now we're doing trials at other customers. And that particular silicone line we installed in our Michigan plant, given the proximity to the molding operation.
Ahmed Abdullah: Okay. Thanks. That’s pretty helpful. I'll pass the line.
Operator: The next question will come from David Ocampo with Cormark Securities. Please go ahead.
David Ocampo: Thanks. Good morning everyone. Circling back just on Ahmed's question about cross-border volumes. I guess, I'm just curious how much flexibility you guys have within your existing manufacturing footprint to minimize the impact that may come from tariffs?
Chris Bitsakakis: Yes. I mean, already, we have a pretty significant amount of our production in the United States, obviously. AirBoss Manufactured Products, which is our defense product lines, and our automotive product lines, rubber to metal bonded parts and non-automotive as well, it's all being molded out of out of Michigan. So, I'd say the one area that we have some concern is on the rubber compounding from Kitchener, Ontario that gets shipped into the U.S. and also some out of our Quebec plant that gets shipped into the U.S. But that is also the capacity that's the easiest to move for us because we have similar production lines in the U.S. to be able to compound our material. We have a contingency plan in place. We've spoken to many of our customers about qualifying their material to be mixed either temporarily or permanently in our open capacity that we have in the U.S. We've contracted capacity in addition to our existing open capacity in the U.S. So, we have a fairly robust plan to minimize the impact that we're going to see. However, it's going -- it's not going to be an easy sort of sort of process for anything. Moving equipment or molds or that thing would be very difficult. But moving a recipe to be mixed on one side of the border to the other is not that difficult technically. We've established the capacity we need to satisfy our customers. And the customers that are adamant, that continue to have their product come out of Canada, we've already informed them that they'll have to be paying for that tariff impact. So, we're not sure exactly how this is all going to play out because as you are following the news like we all are, the story changes every single day. The exemption for the automotive industry, if that goes back into the raw material supply, that would help us significantly by keeping at least the products that we make in Kitchener that go into automotive componentry continue to make them out of Canada and be tariff-free. But again, I think none of us will really know the exact impact until there is some sort of agreement finalized in place between the two governments. But in the meantime, we're planning for worst-case scenarios. Our contingency plans are designed to be able to shift production. It's obviously not going to be as efficient or easy in terms of what we're doing now, but we do have contingency plans that we're relatively comfortable with at this moment.
David Ocampo: Sorry, Chris, did you say that the compounds that are being produced in Kitchener, at least for this month, they're going to be tariff-free because if they're going to an automotive supplier that's U.S. MCA compliant, is that right? Or am I not understanding that right?
Chris Bitsakakis: I'm actually trying to figure that out right now. Yesterday, the conversation was around automobiles -- autos. Then late yesterday, it came out that it included auto parts. So we're trying to figure out today that because we have a significant amount of rubber out of Kitchener that goes into our own AirBoss Engineered Products segment or AirBoss Manufactured Products segment that is automotive based. So we're trying to figure out what's exempt what isn't. And there's a lot of confusion right now. What we did when the talk of the tariffs first came up is we positioned inventory out of Kitchener into the US, finished goods and master batch, to be able to kind of weather the storm between two weeks to four weeks. So as this one day here, one day there and the stories keep changing, we don't expect a major negative impact because we've buffered ourselves for that. If this goes on more than a month then I think there's going to be an impact, which then we would kick into our contingency planning in full force.
David Ocampo: Okay. And we talked a little bit about being able to move manufacturing elsewhere. But curious on the labor side, how quickly can you wind things down in one area and pick them up in another just from a labor perspective?
Chris Bitsakakis: Yes. I mean, we've been planning for this now for about six weeks or seven weeks from the very first moment that Trump started talking about tariffs. So we've been addressing the human resource requirements that we're going to need to scale up. We also have contingency plans on scaling down the human resources in other areas. So we have the plans in place. On the scaling upside, we've kicked those plans in place already because you can't train people overnight. So we're carrying some extra labor in our US facilities right now as their training because we're also qualifying customers to be able to receive materials. So they need like a sample batch. They need to try it. They need to test it. And so we've been in the process of that for the past month or so. So we've been scaling up our human resources in our US plants. We have not been scaling down in our Canadian plants, and hopefully, we don't need to do that. We're still hopeful that there's some sort of solution here, but we are prepared on both sides of the border to do what we have to do to shift.
David Ocampo: Yes. And then just last one for me. Do you guys have an update on the potential land sale at Kitchener? And do tariffs ultimately alter your decision on where you relocate it because I remember before you wanted to stay in the KW region, but maybe tariffs altered that slightly. Any commentary on that would be great.
Chris Bitsakakis: Well, I mean, the Kitchener plant, as you know, is a really large-scale facility, but we do have some fairly significant customers in Canada as well. So we certainly are still on track to market the building in Kitchener. In fact, we should be launching that later this month officially. At the same time, we would be remiss not to try and understand where we want to position the capacity. However, our intent is still to produce a large-scale state-of-the-art plant in Ontario that we can continue to provide our Canadian customers with rubber compound. And also assuming we can get this USMCA agreement streamed out, continue to do that in the future. But yes, we're certainly trying to identify where we want to keep more capacity and the more regional you are, the better. And so we are certainly facing that reality right now. But our plan for that operation hasn't changed, the question is the scale of it and how we address that.
David Ocampo: Okay. That’s perfect. I’ll hop back in the queue. Thanks guys.
Operator: The next question will come from Alex Bloom [ph] with CIBC. Please go ahead.
Unidentified Analyst: Hi. Good morning. I just have a question on the -- with the changes in the US administration and focus on cutting government spending. How do you think that impacts your pipeline of opportunities? Have you seen a change in the bidding environment?
Chris Bitsakakis: We have not seen a change in the bidding environment and the significant traction we got last year coming into this year, we don't expect any concerns around that because as we are in either in early production or mid-production or whatever the case may be in terms of those earlier announced contract awards. If anything, we don't expect defense spending in general to go down. In fact, we are seeing significant increase in governments in Europe and throughout the world planning for additional defense spending, which should bode well for what we do. So from that perspective, we don't expect any concerns on the defense product side. We only expect upside really in terms of all the other countries in the world increasing their spending on defense. That should be positive for us and other defense contractors. And we don't really expect the US to be taking significant money of the defense budget. But if that happens, certainly, the types of products that we do that are related to soldier protection are normally quite important to keep flowing through.
Unidentified Analyst: Thank you. That's helpful. Another question I have is can you please provide an update on restructuring efforts and any opportunities to sell your Kitchener facility?
Chris Bitsakakis: So the Kitchener facility will be officially put on the market sometime this month. And as I mentioned on the prior question, our intention is to build a state-of-the-art plant in the region to be able to focus on both Canadian, and depending on how this tariff conversation goes, US exports. However, if US exports are limited, there is also significant rubber compounds that are exported from the US into Canada. And we have sent a letter to the Minister of Finance of Canada informing him that as part of the counter-tariffs, the rubber compound imported into Canada should be included in that. So it's going to be interesting to see how it plays out. I'm assuming for now that there's some solution on this new USMCA and we'll be able to continue to export to the US. But if we can't, we have a good significant base of Canadian customers already. And the ones that we don't have, I think, will be a much easier target for us if we're able to get those countermeasures in place. So it's all going to flow in the end in such a way that we will be flipping that property. We will continue to have facility in Canada, in Ontario and Quebec, and we'll try and find a way to expand that depending on the economic climate that we see at that time.
Unidentified Analyst: Thank you. That's all my questions.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Chris Bitsakakis, for any closing remarks. Please go ahead, sir.
Chris Bitsakakis: Thank you, operator, and thanks again to everyone for attending today's call. Please feel free to reach out to us directly or through our Investor Relations team, if you have any questions on our results or in general at all. Thank you, and goodbye. And have a great day.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating. And have a pleasant day.